Operator: Good day, and welcome to the Old Republic International Fourth Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue for questions. I would like to remind everyone that this conference is being recorded. I would now like to turn the conference over to Scott Eckstein with MWW. Please go ahead.
Scott Eckstein: Thank you, operator. Good afternoon and thank you for joining us today for Old Republic's conference call to discuss fourth quarter and full year 2014 results. This morning, we distributed a copy of the press release. If there is anyone online who did not receive a copy, you can access it at Old Republic's website, which is www.oldrepublic.com. Please be advised that this call may involve forward-looking statements as discussed in the press release dated January 22, 2015. Risks associated with these statements can be found in the Company's latest SEC filings. Participating in today's call, we have Karl Mueller, Senior Vice President and Chief Financial Officer; Rande Yeager, Chairman and Chief Executive Officer of Old Republic Title Insurance Companies; and Al Zucaro, Chairman and Chief Executive Officer. At this time, I'd like to turn over the call over to Al Zucaro for his opening remarks. Please go ahead, sir.
Al Zucaro: Thank you, Scott, and good afternoon to everybody. And as always we are appreciate of your interest in our company and keeping up with it. In recent times, those of you who follow us may recall we’ve had four of us handling these calls, and this time around there are just three of us and was just indicated Karl Mueller and Rande Yeager and myself. Scott Rager who usually handles the General Insurance portion of this discussion had a scheduling conflict to deal with, so I’ll start the discussion today with some comments relative to General Insurance and which is you know is our largest segment of business. And so with regard to this segment, the long and the short of what we reported this morning is that both the final quarter of last year as well as 2014, that for those periods of general insurance business just did not perform very well certainly not as well as we had anticipated at the beginning of the year and most certainly not as well as it is capable of performing in good times and bad times. But at the risk of sounding self-congratulatory I do think that we did a decent job explaining the results and the reasons for the bad news in this morning’s release and in it you will see that of course the key drivers of this news are the adverse developments of prior year’s claim cost which as we’ve reported fairly consistently in a recent past have trended up with some regularity through most of these years, the last two or three years through year end 2014. And this aggravated state was much more pronounced in final quarter of 2014. Most of you not everyone are familiar with the fact that we do publish a statistical exhibit concurrent with issuance of our press release and that exhibit is on our Old Republic website. And if you look at the statistical data and you’re looking it’s a fairly show the consecutive financial supplements that are posted on the website. You would see that claim ratios in two very important lines of our business, of our general insurance business namely the workers compensation and general liability line have reflected loss ratios averaging close to the mid-80s in the past couple of years. And in this last quarter of 2014 we think that we press harder if you will on the gas pedal to obtain as much or the greatest amount of assurance that we can get that we will get in the closest proximity of what ultimate claim costs would be by adding a greater amount of money to cover the remaining case reserve levels for years prior to 2011. The years, the most current years of ‘12, ‘13 and now ‘14 while as we like to say the trade are the greener years of the business so far and so good they’re performing very much according to expectancies and of course those are the years also which have the way we’ve had the good fortune being able to increase rates significantly and retrigger the book of business to achieve what we believe will be good results for those years. But turning back to these statistics of loss ratios and more specifically if you look at page four of the latest financial exhibit, you can readily see that the workers compensation claim ratios jump to 103.6% in the 2014 final quarter and that’s up from an average of about 81.5% in the preceding seven consecutive quarters. So, clearly as I said before we did put press fairly hard on the gas pedal of reserve increments in this final quarter of the year. On the other hand the general liability line which is also an important line of business but nonetheless is much smaller than the workers compensation line that is ratio as remained stuck at a much too high level of 96%. As we indicated in prior reports as well as discussion such as we’re having these high lost ratios spent principally from case reserves that would not established at full year expected levels for reserve and another. I’ll say in other way, they were just the deficient by the time we either took another look at them or by the time there we settled the losses that have emerged in the past couple of years in particular, in which to a large degree relate to accident years of 2011 and prior. This case reserves in adequacies, we firmly believe are the root cause of the adverse development we’ve quantified in this earnings release. As you see we quantify the effect of these developments in terms of the percentage effect that they had on claim ratios that we show on page 3 of the release for the general insurance business. So, if you want to get to the actual dollar effects all you need to do is to multiply these percentages by the premium amounts that you see there and a dollar effect of the adverse development comes out to about $71 million for the fourth quarter of 2014, and about $108 million for the year as a whole. So again you can rarely see that most of the damage in terms of recognizing some reserved deficiencies and try to do something about them, to place in the final quarter of this year as we got increasingly comfortable with the statistical development of the data of prior years. Now that’s by any stretch, by no stretch of the imagination that’s a lot of money and it goes to explain substantially all of the reduction in 2014 pretax earnings vis-à-vis related earnings for the preceding year of 2013. So someone might fairly ask the $64 question as I say, and that is whether we now put enough money to stand more hopefully preclude a reoccurrence of this level of adverse loss development. Well we believe that the answer to that is a realistically qualified yes, and as much as the largest portion of our business is functioning a very well, I would say exceptionally well. And the problem blocks of business have been undergoing substantial redirection and refocusing over the past couple of years or so, and all of that has been done to achieve a better balance of business, and the actions we’ve taken in these regards are twofold, first and I believe we said this before, first we have been moving the changing gradually the geographical spread of the business to reduce some concentrations that we have had in certain Western and Eastern states, that are not usually hospitable, if you will to the exercise of underwriting discipline for one reason or another. And secondly we’ve been reconfigurating the products particularly in the workers compensation line, to emphasize alternative market and similar product offerings that can result in a reasonable degree of risk participation by both the us the insurance company and our assures admittedly this test to fact the larger assures, which incidentally again represent the biggest portion of our commercial lines business. So, with this we are reasonably confident that the combination of these two fixes are going to work and we will lead to a restoration of the long-term underwriting success that Old Republic has had for decades. And as I have already said, I might add our general insurance business is performing very well in most other regards. Pricing improvements continue to stick and we are still getting a modicum of increases here and there for in our various parts of the business. The retention levels of the business we want to keep is continuing and remains at very high levels and we’re getting a look-see at reasonably large amounts and numbers of products and accounts seeking a new home and we’re successful in getting, I would say even more than our share of those offerings. Bottom-line, we’re growing very nicely organically and the market acceptance and its welcome of our brand is as strong as it’s ever been, so again all of that to say that I think we need to keep the adversities of these lost development in perspective and that I think all of us can rest reasonably assured that we're going to fix this baby and go onto bigger and better things. So having said that, I guess we’ll turn it over to you Rande to comment on our very vibrant Title operation.
Rande Yeager: Absolutely, appreciate. Thanks Al. Title Company had a pretty incredible first quarter and as we reported this morning, we produced $40.5 million in pretax profits and approximately $473 million premiums and fees. This is a best fourth quarter in our history and whether or not the second best quarter of all time, we actually have to go back to October 2003 for see larger profits. For the year, our pretax profit was $99.5 million compared to $124 million in 2013 and while it’s down a bit, it is an outstanding result and considered the mortgage origination market was off about 40% from 2013. Behind the numbers our continuing emphasis on expense control favorable development as you can see four years claims, and our commitment to stay the course is adhering to our operating philosophy generated pretty exceptionable results. Our commercial division continues to accelerate its penetration in the market and our owned and agency operations are showing strong growth in that respective arena, but all of us here and most importantly we believe our people are making big difference in our company. As for our prospects, we still believe that our bread and butter is housing market will show us slow but steady recovery in that mortgage banking mortgage association in their latest predications in December, so that they expected the 6% in mortgage originations for 2015. I believe that the numbers likely to be revised upwards because interest rates have dipped to their lowest levels since May 2013. This is summed up quickly we’re optimistic about our potential for growth not only as a contributor to the Old Republic family but also within the Title industry. And there is a lot of say about the Title Company, but certainly this quarter the numbers speak for themselves. And with that I will turn over to my senior colleague and friend, Al Zucaro.
Al Zucaro: Okay, I’ll just add a few words before Karl Mueller takes over and as has a say about our the financial aspects of the business, and I’ll say few words about the RFIG runoff which now we believe is performing as expected in the waning years of the runoff. The MI portion in particular is operating in a very exceptionally well managed node in what is an increasingly stable industry wide environment. When you look at the key factors that drive that business, defaults are declining, cure rates are improving, housings values are going up in most parts of the country. And mortgage money is increasingly more available at reasonable terms for borrowers and all of those things are good for the mortgage guarantee business whether it is an active business or as is the case with us is operating in a runoff both. When we look at the CCI part of this runoff business and as you know CCI is a product that has some great similarities to mortgage guarantee, but that business is also reverting to a greater stability. Its results are also improving. If we leave aside the ongoing saga of a couple of litigations which are both sapping energies in that business and of course its bottom line particularly by virtue of the legal costs that are being incurred in an attempt to resolve the litigated issues. As you may recall as you can see also in the news release around mid-year 2014, we settled a reasonably large case for a some unfortunately that was substantially greater than we had anticipated and that settlement together with these ongoing legal expenses are the main reason that CCI performance in 2014 is looking much shabbier than that of 2013. As we’ve mentioned in the past I think we show we have and as we state in our public disclosures we strongly believe that we have very meritorious defenses and sound grounds for resolving the largest of the remaining CCI litigation which is with one of the largest banking institutions in this country. And we can settle that litigation in particular in a manner and at a cost that can fairly allow both sides to be done with it in an equitable and rational way. So having, ever so briefly covered this RFIG run-off. As I said it before we’ll now turn this meeting to Karl Mueller to cover his part of his visit.
Karl Mueller: Okay, thank you. As shows in today’s news release Old Republic financial condition really hasn’t changed substantially since we last reported as of the end of September. The cash in invested asset balance of roughly $11 billion is up ever so slightly from amounts reported both the end of the third quarter of this year as well as the prior year end. As previously disclosed the compensation of the total portfolio has involved over the course of the past several quarters and has been done so to emphasize a greater commitment to high quality dividend paying common stocks in an effort to diversify the portfolio as well as enhance the net investment income to the company. As a consequence the composition of the investment portfolio at year end 2014 consisted of approximately 82% of the portfolio allocated to fixed maturity and short term investments and 18% towards equity securities. By comparison the same ratios at September 30th were 86% and 13% respectively, that should be 14%. A majority of the fourth quarter growth in equity securities occurred in certain non-insurance subsidiaries as the proceeds from our third quarter debt offering that were held in short term funds at the end of September were invested in equity securities during the fourth quarter of this year. The equity portfolio also benefited from higher market appreciation during the fourth quarter. At the year-end 2014 the equity portfolio consisted of approximately 13% committed to index mutual funds 59% to blue chip stocks that have a long and stable dividend paying history and remainder is primarily invested in utilities. As indicated in the release investment income grows almost 12% in the fourth quarter and by a little over 8% to 345 million for the full year and that’s by comparison to the same periods of 2013. The higher investment income is attributable to higher invested asset base in combination with the benefit from the higher yield in equity portfolio. I would just add that the credit quality of a fixed income portfolio remains unchanged at year end and it still has an overall rating. Consolidated claim reserves were relatively flat at year end by comparison to September 30th on the year-to-date basis consolidate claim cost have developed slightly deficient in relationship to the prior year end lost reserves. And by contrast the company reported favorable development on a consolidated basis for all of 2013. The most significant contributors to this year’s unfavorable reserve development includes CCI claim settlement that we noted back in the second quarter lower favorable development of mortgage insurance claim reserves more favorable development of title claims, further escalation of prior year’s workers compen GL claims as was mentioned by Al earlier. Shareholder’s equity as of year-end was 3.9 billion or $15.15 per share which represents a year-over-year increase of $0.51 per share or roughly 3.5%. That combined with the book value based cash dividend yield of 5% resulted in a full year 8.5% return on book value to our shareholders. And finally the capitalization ratios that are shown on page 7 of a release are unchanged from those reported September 30th. So very healthy financial highlights of Old Republic’s current financial condition and I will turn it back to Al. 
Al Zucaro: Okay, just summarize. Again we think that our general insurance business is going to look better in 2015. I think that our title insurance business is going to continue to bubble, as it has. I think that the RFIG business is going to remain very stable, say for the possibility which always exists that the litigation cost might still be higher than that should be. And that our finances are going to remain in very good shape. We have got great liquidity in throughout the system, great liquidity at the holding company parent which a lot of that as Karl mentioned, just now came from the debt offering that we had in September or thereabouts of last year. And as we indicated in the prospectus in addition to the liquidity of that it provided us it gave us the ability to move capital funds wherever that might be required in our system, and to solidify the capital structure of individual subsidiaries and or otherwise enhance the ability to take advantage of growth opportunities that might come about at a faster cliff than was otherwise expected. So that’s the long and the short of it. So we will open it up to questions as was said at the beginning of this session. 
Q -Vincent DeAugustino: Thanks and good afternoon, everyone. I guess just to start off with a little bit of a prospective question here, so on the two new joint ventures that you guys had announced on Monday, I was just hoping we could touch on, I guess, the potential size that those two units could reach in terms of premium production. And then what types of lines? I know programs, and then the public side of it was broadly mentioned. But just curious more specifically the lines in there. And then maybe if we could define what was exactly meant by the alternative market insurance needs that was referenced as well. 
Al Zucaro : Well we approach each new venture whether it’s a joint venture such as this one or a new internal organic type of growth objective by looking at the potential of that initiative to grow to $100 million of premiums in as a minimum fairly quick and fairly quick order and by that I mean over two year to three year at the end of three years potentially achieving that level. So over the years we have done somewhat better than that in some cases and other cases somewhat less than that but that’s a bogey for us about a 100 million at the end of three years. We think that this joint-venture that we just announced which is similarly structured to other ventures we have done over the years and we have done more than couple of dozen of them, it will be capable of achieving that kind of objective Vincent. I had trouble getting the second part of your question. 
Vincent DeAugustino: I guess I was a little unsure of what alternative market insurance needs, what that actually defined.
Al Zucaro : As we said in the release the other day when we announced this venture, we categorized it basically as representing an extension of stuff of things that Old Republic has done for decades, well quite frankly since the end of the 1940s, so we’ve been added a long time. And so when we described this business as involving alterative market approaches to the delivery of insurance products, we’re talking about the use of retrospective arrangements, we’re talking about the use of captive insurance company arrangements, any type of arrangements that leads to participation by the assured or the producer of the product to have a stake in the business as opposed to just being a commission oriented type of relationship with the producer. So the difference that you might ask well if you already in the business what’s the difference with this thing, well the difference with this thing is that, it is going to be focused on particular sections or segments or parts of the alternative market including program administrative type of business that Old Republic has not here to for been involved with to any significant degree if at all, so it is both the continuation or extension as I say of something we do as well as an opportunity within our sphere of competence to do something in addition. Is that answered your question.
Vincent DeAugustino: It does. All very helpful. Then I guess more retrospectively here, when we look at some of the loss cost inflation, acceleration, at any point does this look like business that you wrote maybe in retrospect the risk profile is just a little bit different from what your underwriting targets were? Or is this purely very specific examples? You mentioned on the case side where plans are just costing more. I guess to frame the question, I'm just trying to understand if there is anything on the upfront risk selection side that's partly responsible for the claims escalation.
Al Zucaro : Well to some degree as I said, we’re reconfiguring the business a lot of it to do more to offer and underline more products that has got some risk or exposure sharing with the assured than was the case and in prior years with some blocks of business. So that is a change and that is a change that recognizes that some of the stuff we wrote on a traditional risk transfer basis simply did not work for a variety of reasons, some of it may have been the delivery channels, some of it may have been just missed pricing, bumped pricing on our part, some of it would certainly due to the impact of the recession on risk transfer business, and some of it may have been due to being involved in parts of the country which as I said before not particularly hospitable because of competitive or the reasons to doing the right things from another earnings standpoint all times. So these are not excuses they’re just explanations of what has occurred and what it is that we’re trying to fix.
Vincent DeAugustino: Okay. Just one hopefully quick one; I'll let some others join in. But thinking about the MI side, should we think about the confluence of low mortgage rates again here, cheap gas prices? Just wondering if that accelerates the runoff of MI in terms of the risk and then, secondly, if it elevates the prominence of delinquent loans in the self-cure process. Just with some fuel savings that borrowers might have in their pockets. Is that -- do you guys agree with that? Or am I just being a little too optimistic there? 
Al Zucaro : Yes, if I follow the thrust of your question Vincent, I would say this that anything that happens, anything that’s done to improve people’s post-tax income, money that stays in their pocket whether it’s due to gasoline prices falling or income taxes coming down or interest rates going in or mortgage money being extended as a faster clip and housings values going up, all of those things are all very positive for mortgage guarantee or other credit guarantors. So what that means is that there is a chance that if you have an increase in the momentum affecting the transfer of homes, that could speed up. The speed up the reduction in the enforce business of mortgage guarantee business in particular and thereby accelerate the timing when the time or advance the time I should say when those loans that owned books today will extinguish themselves for one reason or another. The bottom line is that it’s all positive we believe and we think that’s happening commonly now in housing and housing finance we think are all very positive things particularly for a run-off book of business. 
Operator:
. :
Steven Charest : Hi, Aldo. Thank you for the very direct information. Bill and I had a coin toss; he lost, so I'm going to ask you this question and hopefully as directly as possible. So, thinking about the business cycle here, and we've talked about -- or you've given us ahead of time the advance warning that you were going to attend to greater reserving, and you've done that -- which has been very favorable, I think, to the Company. But in terms of looking at the cycle and workers comp, you've mentioned briefly before that you see the expenses going higher. Do you have a sense of where we are, considering that things are new but things are still cyclical, and where workers comp is in that cycle?
Al Zucaro: I think that the moment you see interest rates going up and therefore the ability of insurance companies to invest float and higher yields that will ring the bell on the top of the cycle and so far as comp is concern or so far just about any long tail line of insurance. The insurance business in these areas is a very efficient competitive business and there is a recognition by insurance buyers that insurance companies make money in two ways, one on the underwriting side, one on the investment side but the markets are so efficient that they do not allow companies to make money on both side at the same time. So that’s the best way I know of explaining when we will reach the top of the market, the top of the cycle and if you do believe what is being said about the -- and so far that sounds like all of that by mid-year by the fall of this year if interest rates start creeping again then I think there will be a stop to an ability to increase prices and then it will be a battle to keep business at a reasonable price on the books.
Operator: We’ll take our next question from Stephen Mead with Anchor Capital Advisors.
Stephen Mead : Going back to workers comp, when you were making the comments that the business that you had -- that you were writing in the workers comp in the most recent year, and I think you referred to 2013 and I don't know whether you went back to 2012. I was curious what the composite ratio of that part of the business was. And as you look at -- how large is that relative to all the premiums on the workers comp side? 
Al Zucaro : Well, in the comp side in particular Steve maybe I don’t know six, seven years ago. The mix between what we refer to as traditional risk transfer business and what we refer to as risk management or alternative market type of business was around 60-40, 65-35 in favor of risk management and alternative market approaches which have the objective as I said before and as you know of having a greater participation by shorts in the risk transfer mechanism. And what happened maybe five, six years ago by virtue of both what we did on our own as well as the couple of -- by virtue of the couple of books that we bought that the mix change to almost fifty-fifty type of ratio so that the balance that we had achieved in favor of risk management was reduced significantly. So the objectives now as indicated before in changing both the geography of the business as well as the components between traditional risk transfer and risk management. The objective now is to readdress that balance and aim again for a 60%, 65% configuration favoring risk management.
Stephen Mead : Your sort of underwriting results in that business and you say it’s more green -- 
Al Zucaro : In which business?
Stephen Mead : In terms of the risk management business. 
Al Zucaro : All those results have always been better than in the traditional risk transfer business. Because again you got the additional protection of having an assured have a stake in the insurance relationship. And whenever money is on the line things always workout better for all involved, that’s not a secret. 
Stephen Mead : Just on page 5 of just the general press release, the cash flow swing from 2014 versus 2013, there is a reference to when you exclude the run-off business. That just -- on a year-to-year basis, that meant that the RFIG business on a cash basis had a tremendous sing from 2013 to 2014.
Al Zucaro : Yeah, and that was due to -- that was due Steve to what Karl mentioned and that is that in July of last year we paid off those deferred payment obligations of 657 million roughly. So, that’s the big difference, so that’s why we put those two sets of numbers in the release to provide that perspective. 
Stephen Mead : Okay. No, I had missed that. The other thing, on the Title business, in terms of the favorable results in the fourth quarter, is that repeatable? Is there something nature about where we are in the cycle that would suggest your claims will remain lower? Or do they revert back to more historic numbers? 
Al Zucaro : There is a different quality of about loans now, many of lines the actions are came down regulatory wise speaking, have really cleaned up the loans that we ensure, that goes a long way towards mitigating bad claim years. The claims are never a big deal, we all do see gross revenues in the Title insurance business, but we are seeing really favorable development and maybe there is a long term trend from the comedown a little bit is every quarter going to be the same? No, of course not, but I think we are going to continue to see when you look back at decades of factors. And we generally think we have about a 20 year tale in the Title insurance business and so as claims are concerned. You can see it considerable improvement over a 20 year period, and I think that’s going to continue, it probably won’t be as low as it was in the fourth quarter but it can be, but I don’t look for any big spikes in business, we are just too many get things going on. Auditing is better, loans are better. The market that was created back in 2007, 2008 when everybody get along created a lot of losses and once we got test of the financial crisis certainly real-estate end of the financial crisis, a lot of companies were in business aren’t there anymore and the companies that left are doing a much better job. Whether you are an underwriter or an agent, and I think we are seeing the result of that. So my gut feeling is yeah we are going to see continual gradual improvement just like we will in the housing market but the fourth quarter was exceptional this year but I am not saying that it can happen again. So we are pretty positive about it. 
Operator: And we will take our next question from John Deysher with Pinnacle. 
John Deysher : Just a quick question on the investment portfolio. What is the duration on the fixed income portfolio at this point?
Al Zucaro : I don’t have the exact number from me and it’s in the neighborhood of four, four something, 400 quarter 4.5, it’s not really changed significantly for the past several quarters. 
Karl Mueller : Both the duration and the average life of the portfolio are about the same John. They are between 4% and 5%. 
John Deysher : Between 4% and 5%?
Al Zucaro : Between four years and five years, I should say. 
John Deysher : Okay, four years and five years on the duration. 
Al Zucaro : Five years average life. 
John Deysher : An average life. 
Operator: We will take our next question from Christine Worley with JMP Securities. 
Christine Worley : Good afternoon. Most of my questions have been answered. I just had one follow-up. On the reserve issues that you noticed on the case side, has that caused you to change your reserving methodology at all? Or all the changes more coming on the underwriting front?
Al Zucaro : Well, of course reserving has changed by virtue of the fact that we are, as I said we did put press on the gas pedal to try to see if we could attenuate or eliminate the impact of potential further reserve deficiencies coming out of cases and I think you have the similar question as I recall last quarter, Christine, but in terms of reserving for big picture wise in terms of reserving for long tail lines of business, no, we talk a long view. We use loss PIP Bornhuetter-Ferguson types of reserving approaches and monitoring approaches of those reserves quarter-to-quarter with great fidelity we look at them. So nothing has changed there.
Operator: At this time we have one question remaining in the queue. (Operator Instructions) We’ll take our next question from Vincent DeAugustino with KBW.
Vincent DeAugustino: Hello again and thanks for taking the follow-up, hopefully quick. On the geography reconfiguration, I just want to double check on that. Are we still talking California and New York there, on the East Coast/West Coast nomenclature? 
Al Zucaro : Correct, perfect.
Vincent DeAugustino: All right, perfect. Then sticking with workers comp, this is kind of -- you guys are early in the reporting cycle this go-round, as usual. But coming off the heels of last quarter, we've heard some instances of your competitors talking about getting a little bit more aggressive on workers comp just since they, in their case, feel that the returns are becoming attractive. So as I think about how you shift the workers comp book and potentially a little bit more competition in the work comp space, I am wondering if -- do you feel that that impedes your ability to get the rate that you need to get margins adequate? Or do you still feel like right now you can get all the rate that you need in the current environment? And thanks for taking the follow-up. 
Al Zucaro : Well, one of the things, pricing is always very important in any business including comp or anything else or even if you manufactures manufacture cause or have your prices important, so we have to consider that. But other thing is reputation, the other thing is value added, the other thing is generally speaking service. And in good markets and bad markets, we tend to keep our business, at least the business we want to keep. We always have retention rates that rarely go below 80% and typically are in the high 80s and low 90s. And that as always said to us, okay, the people that we do business recognize that we’re in this for the long run and we expect them to be in the long run. So we’re always going to have price shoppers in any business and we have our share of them, but by large we think we can keep our business because of the value added proposition that we bring to the table. And I like to brag about the good name that we bring to the table.
Operator: It appears there are no further questions at this time. I'd like to turn the conference back to management for any additional or closing remarks.
Al Zucaro: We have none and always we again very much appreciate everybody’s interest in participating and listening to these calls, asking questions, and on that note well I’ll say you all have a good afternoon, if you happen to be in the same time zone as we are or good morning or good evening. And we’ll look forward to visiting with you after our first quarter 2015 earnings or release, so you all do well. Bye.